Operator: Greetings, and welcome to Primoris Services Corporation Reports Fourth Quarter and Full Year Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. I'll now like to turn the conference over to Ms. Kate Tholking, Director of Investor Relations. Thank you, Ms. Tholking. You may now begin.
Kate Tholking: Thank you, Manny [ph]. Hello, everyone. Thank you for joining us today. Our speakers for today's call will be Brian Pratt, Chairman, President and Chief Executive Officer of Primoris Services Corporation; and Pete Moerbeek, Executive Vice President and Chief Financial Officer. Before we start, I'd like to remind everyone that statements made during today's call may contain certain forward-looking statements, including with regard to the company's future performance. Words such as estimated, believes, expects, projects, may, and future, or similar expressions are intended to identify forward-looking statements. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as may be required under applicable securities laws. Forward-looking statements inherently involve risks and uncertainties, including, without limitation, those discussed in this morning's press release and those detailed in the Risk Factors section and other portions in our annual report on Form 10-K for the period ended December 31, 2013, as updated through the quarterly report on Form 10-Q for the period ended September 30, 2014, and other filings with the Securities and Exchange Commission. As we announced in this morning's press release, starting in the fourth quarter of 2014 and through to today, the company's management, independent outside counsel, and the audit committee of the Board of Directors have spent considerable time and resources reviewing and analyzing various issues relating to the methods used by the company's subsidiaries to recognize revenues, and estimate contingencies for ongoing projects. The review is not yet completed, but based on the results to-date the Company does not anticipate any adjustments to its previously reported financial results. The company is unable to determine at this time whether the results of the review will indicate that its internal controls over financial reporting were operating effectively, or the impact of the review on the company's annual report on the internal control over financial reporting, included in the Form 10-K. As permitted by the Securities and Exchange Commission rules, the company is extending the filing date of its annual report on Form 10-K for the year ended December 31, 2014, until March 17, 2015. We will unfortunately not be able to provide any more information on this issue today. I'd now like to turn the call over to our CEO, Brian Pratt.
Brian Pratt: Good morning, everyone. Thank you for joining us today. I expect you've all read this morning's press release, and that accounts for some of the new callers who have dialed in today. I'll get into the details in a minute, and Pete will give you the numbers, but let me start by saying that I'm very disappointed with our fourth quarter results. Everyone here at Prim is likewise disappointed. There are no mysteries as to why we failed to perform up to our expectations; and believe me we're taking the appropriate steps to make sure we live up to our expectations in the future. But don't make the mistake for a moment of thinking we are not fundamentally the great company you are all confident enough in to invest. The year we became public, in the 2008, our fourth quarter revenue was $151 million. The most recent quarter, it was $486 million. Over the same period, we've entered into new markets, expanded our geographic reach, successfully acquired companies, and now have, by my perspective, a good quality backlog in excess of $2 billion. I'm incredibly proud of what we've accomplished, and yet obviously very disappointed in the most recent quarter. There were highlights in the quarter, and I'll get to them, but I suspect many of you are anxious to find and understand the areas where I feel our results were not as we had hoped. I'm going to start with the five areas where we experienced some unexpected performance issues. First, I want to discuss ARB Underground work. Our revenues were basically flat compared to the fourth quarter of 2013. The work released by our customers was lower margin work. We also absorbed some training costs associated with the new camera inspection, work which is fundamentally a new kind of work for us we will be performing for one of the utilities in California. Along with other work, Scott's Group has two sizable PSEP [ph] alliance agreements with California Utilities. We are currently -- are performing 15 projects with a combined value of over $100 million under this PSEP [ph] alliances. We anticipate that work under the alliances will pick up significantly in the second quarter and will yield margin more in line with our historic levels. Next, let's discuss Rockford. They had several large jobs in fiscal 2013 that were not replaced in 2014, so their fourth quarter revenue was down compared to '13. One of the jobs that we won was problematic for us in both the third and fourth quarter. This was a tough job in the hills of West Virginia, and due to weather and other issues it generated sizable losses for us in the Q [ph]. We may have some recovery of that loss recognized to-date on this job through negotiations with a client, but it's too early in the process to assess. I understand people are worried about the decline of energy prices over the past six months and the effect it will have on the pipeline construction business. The reality is that there's a wide range of breakeven costs for North American Shale, and at current prices many producers are still profitable. In addition, long haul transportation by pipeline offers $6 to $7 a barrel cost advantage over rail. So short to mid term demand for pipelines hasn't seen much of a retraction, if any. What the downward price change for crude and liquids has done is turn the complexion of some of our clients to one that could be characterized as balance sheet protected, or extremely miserly resolving cost overruns, perhaps even downright inequitable in their dealings. We are anticipating this in our pricing and contract negotiations, and even so we have announced over $140 million of new awards this year for Rockford, all of which will be built in 2015. Frank's team is still chasing over 300 -- I'm sorry, over $3 billion of projects slated to start '15, '16, '17, which are currently short listed on several. In fact, Rockford is in pursuit of more work right now than anyone else in Primoris. PES Sprint recognized additional revenue in the fourth quarter on a major pipeline project we discussed on previous calls. Due to the ongoing litigation, we recognized the revenue was zero profit, pulling down Sprint's overall margin in the quarter. I couldn't begin to speculate when this matter will be resolved. We are currently in discovery, and I'm confident the facts will support us in the case and this matter will be favorably resolved. Unfortunately, litigation management is a skill I've had to acquire over more recent years, but I do believe if you are going to do something, do it well. In the meantime, Sprint's other customers are just releasing larger big packages for 2015 work. The scope of Sprint's big packages mostly consisted of small to medium diameter natural gas and liquids gathering work across Texas in multiple shale plays. Also, as usual for this time of the year, we're seeing maintenance work pick up, which is one of Robert Grimes' strongest lines. James Heavy Civil had two negative impacts to their margins in the quarter; first, to reserve more on the NTTA lawsuit, which was finally resolved. The settlement was not terribly material to our overall results, but it certainly impacted the heavy civil margins. Nonetheless, we are glad to reach resolution on the liability for work completed by James Construction more than five years before we purchased them. In the Belton, Texas region, we're about one third completed on the roughly $720 million of mostly TxDOT work in the area. Given the delays by TxDOT in obtaining rights of way and their effect on our efficiency, we took write-downs in December on several jobs. This was done in accordance with the conservative nature of our profit recognition policies, was the second negative impact of Heavy Civil. We've made some management changes in James Heavy Civil group to better manage the work that is processed challenged by late incomplete releases and to better ensure our success in the future. We restructured the group moving Mike Killgore, one of our main operation stalwarts into the role of President and Group Manager. Also, I'm very pleased to announce we promoted Rodney James to Vice President of Operations for all Heavy Civil. Rodney has been with James over 18 years, and is extremely confident in this kind of work. It is really exciting to see Rod grow as he continues to take more and more responsibility. The last area we didn't perform up to our expectations in the fourth quarter was a result of not getting the contribution we had hoped for from the Sasol project. The later anticipated start of the project and the failure to achieve the revenue we hope from some of our recent acquisitions contributed to less than acceptable results. Everything with the Sasol project is proceeding well, however, we had anticipated a much earlier start setting aside one of our strongest management teams for the project well over a year before the project was funded, finalized our negotiations and received our notice to proceed. There were some concern expressed in the market once Sasol announced its plan to sell the GTL facility, but in doing so they renewed their commitment for construction of the new ethane cracker. Our work at their Lake Charles side is not depended on the GTL project. We currently have around a 150 employees on side, and that number will ramp up quickly. We anticipate our revenue on this project to be well in excess of the amount previously announced. We also made several small acquisitions throughout the year, and none of them were hugely significant detractors from our performance. They didn't contribute nearly as much as we planned. There is nothing to point to with these guys, just slow revenue ramp up, some due to project delays -- project start delays, their integration in the Prim organization has gone well as their work begins to accelerate. I have no doubt they will be solid contributors to the bottom line. These are the five areas where our results probably differ most from what we had expected for the quarter and the year, but they don't paint the whole picture for what's going on in the quarter. ARB industrial performed as we expected in the quarter with revenue and profit down compared to Q4 '13, which benefited from the El Segundo project. As we previously anticipated and expressed, Tim's group will most likely have light revenue for '15 that we are pleased to say that his backlog at work should grow substantially. His guys are close to finalize a new contract for large gas-fired power plant in California with a value of over a couple of hundred million dollars. This EPC contract will be a joint venture with a large very confident engineering firm and we expect construction to kick-off late in the fourth quarter. ARB Industrial is also bidding on several large power plants and industrial facilities such as gas storage and compressor station projects. In aggregate, his group is in pursuit of over $2 billion of work that we traditionally have high win and execution success rates. Their current workload is producing good results, albeit, a little lower revenue level than we like. ARB Structures is turning the corner not only did they see a strong revenue growth in the fourth quarter starting the New Year with the bang. They won three projects with a combined 3,600 parking spaces on 18 parking levels. After several rough years, Mark Thurman and his team are ready and seem to be headed for some good years. Jay Osborn and the Q3 C team continue to be an outstanding contributor for Primoris. Jay has taken our [indiscernible] old friend for new one mantra to heart and continues to grow his business with his existing customers, including a large distribution contract he is in talks to extend for another three years. We purchased quite a lot of equipment for Jay over the last year, and he keeps putting it to good use. OnQuest and OnQuest Canada had been busy and the micro-mini LNG market continues to grow. OnQuest San Dimas office has doubled in size in 2013, and they are adding space. Our LNG facility constructed at George West Texas for Stabilis is now operational in making LNG. Randy customers group also began a construction phase of a Florida power plant this month for a different customer, sorry; Florida LNG plan. There are four other LNG facilities in Randy's group. In the very near-term these are under pursuit and numerous opportunities in the little distant future. We have seen no significant degradation from the year ago and the demand for these types of facilities. OnQuest is also keeping busy with their more traditional heater and reforming markets. PES Saxon is finally performing at a level anticipated when we required them in 2012. Not only did they see a jump in revenue for the quarter, but more importantly it was significantly profitable revenue. They just recently executed a contract for compressor station project for Williams in Pennsylvania for which they'll start mobilizing shortly. And their prospect list is as strong as its ever been. Without a doubt, the highlight of the quarters is Conrad Bourg's JIC team. It was a long slog to get the Sasol project signed and finally kicked off a lot later than planned. Conrad's team still increased revenue by over $13 million in a quarter. The vast majority of this revenue came from other projects earned gross margin in mid teens. We continue to see impressive opportunity for Conrad's group for the near future and long-term. In January, we announced $18 million of new work for Kinder Morgan consisting of work at their barge dock, export terminal, and rail terminals. Work along the Gulf Coast continues to be very robust, and I think it's safe to say JIC along with all the other groups Jim Henry manages are going to be very busy over the next several years. Jim has done a great job of melding these groups into a very strong business unit. Switching to M&A, we are more active today on these fronts than we have been in some time as pricing of our targets has recently become more rational. We received a fair bit of criticism over the past several years for not being more aggressive in acquiring new business units. I am proud we maintained our discipline and didn't act on our opportunities that would be viewed as over-priced today. This discipline has resulted in a balance sheet and a management team ready to take advantage of purchase and expansion opportunities, both in our traditional and new markets. Our efforts are recently manifested in the purchase of Aevenia from Otter Tail. Aevenia is an overhead electrical construction company, while somewhat small that provides us new skill sets, some new geography, and some new clients which we can cross-sell other services. Chris Wolohan did a great job of maneuvering us through the fairly arduous negotiation and documentation process in the acquisition. We are constantly looking for companies that are strategic fit for Primoris, either expanding our geographic range or broadening the scope of services we can offer our clients. The right chemistry with a strong management team that wants to be part of the Primoris family is a must. We continue to comb the industry for opportunities of Aevenia size and larger, also we have and we will continue invest internally in equipment and facility for our guys. This not only keeps us very competitive, but demonstrates to our stakeholders, our continued commitment and confidence in our legacy businesses. In sum, the year didn't end at all as we liked. Whatever, with that said, it hasn't diminished the quality of our company or the opportunity available to us this year or next or for that matter any other year in the future. The factors driving our business remain strong, some being inexpensive nat-gas and nat-gas liquids as feedstock for the petrochem industry, lack of adequate pipeline transportation infrastructure connecting shale plays to processing plans and a never increasing environmental regulation requiring mitigation replacement of facilities across all industries. But the most important driving factor is that our company is full of the most dedicated, talented, and well-respected professionals in their fields. Pound for pound, we can out-punch anyone in our space. These are facts one disciplined quarter won't change. Now, on to my human shield, Pete.
Peter Moerbeek: Thank you, Brian. For Primoris, this past quarter was very noisy with many moving parts and less than great results. At $0.17 per fully diluted share on 488 million of revenues, we showed a 61% in decline in quarterly earnings, compared to the 2013 quarter and a 9% decline in revenues. Brian has mentioned the margin reductions in ARB Underground and James Heavy Civil, the revenues and margin reductions to the ARB Industrial in Rockford and the settlement of the NTTA lawsuit. Separately, each of these would not have caused our shortfall but add them together and our overall gross margin for the fourth quarter was 10.2% compared to 13.9% in the fourth quarter 2013. I will expand briefly on the North Texas Tollroad Authority lawsuit. We were one of the parties sued in February 2012 for work that was done by James Construction in 1999, some 10 years before James was acquired by Primoris. The suit alleged that one retaining wall had shifted and that at least six more walls could potentially shift. While we believe that Primoris had many adequate defenses we also concluded that due to minimal insurance coverage, the NTTAs planned jury trial which would request damages far greater that what could be realized through a settlement. And the continued direct cost and impact on senior management and economically mediated solution was the best alternative. After completing almost 18 months of mediation the parties agreed to a settlement in February 2015. The Primoris portion of the settlement is accrued at a total of $9 million of which $3 million was accrued in 2014, with $2.5 million in the fourth quarter. Below the gross margin line, our expenses in 2014 fourth quarter were remarkably similar to those in 2013. Selling, general & administrative expenses for the quarter were $33 million a slight decrease from the previous year's quarters with the 9.4% decrease in revenues resulted in the increase in the percentage of SG&A expenses to revenues from 6.3% in 2013 to 6.8% in 2014. For the full year 2014, our revenues increased by a $142 million to $2.86 billion but impacted solely by the fourth quarter results our fully diluted earnings per share declined by 9.6% for the $1.35 in 2013 to a $1.22 in 2014. For the full year, our largest customer was TxDOT with revenue of a $183 million or 8.8% of total revenue. From an end market perspective, Underground Capital projects accounted for 17% of total revenues, utilities services 28%, industrial 27%, Heavy Civil 22%, engineering 3%, and the other category 3%. For the year, we invested $88 million in capital expenditures. Depreciation for the year was $51 million, amortization was $7.5 million and we received $6 million proceeds from asset sales. Included in our investment amount was approximately $13 million for construction of a water treatment facility in Seminole, Texas where we will begin to see the benefits from the long-term take or pay contract with this city in 2015. In addition we invested almost $8 million for construction of operating facilities for our new headquarters for James Construction in Baton Rouge and for Primoris Energy Services in the Fort Worth area. The amortization expense was associated with intangibles from prior acquisitions. We estimate that amortization of these current intangibles will be approximately $6.4 million in 2015. We did not make any acquisitions in the fourth quarter 2014, but for the full year we spent approximately $14.5 million for the acquisition of Vadnais, Surber, Ram-Fab, and Williams. Our balance sheet currently has a total liability of $6.9 million for the contingent earn-outs from our acquisitions with $5 million of that total to recognize Q3 C meeting its highest 2014 operating performance targets. For the year, the effective tax rate for net income attributable to Primoris was 37.96% compared to 39.19% in 2013. The primary reasons for the decline in the effective tax rates were reduction in the state effective tax rates and the benefit recognized from the conclusion of the IRS audit of the 2011 and 2012 Federal Income Tax returns. For 2015, we anticipate that our combined tax rate will be approximately 38.75%, reflecting the impact of increase in work in Louisiana, which has a fairly high state tax rate. At December 31, 2014 Primoris had $245 million of total debt with a $168 million of commercial equipment notes, $4 million of senior secured notes and $2.3 million of capital lease commitments. The weighted average interest rate on total debt outstanding at December 31, 2014 was 3% compared to 3.3% the previous year. The weighted average cost of our equipment debt was 2.26%. Our total debt to equity ratio was 54% compared to 56.5% at December 31, 2013. It is the strength of our balance sheet that allows us to weather a quarter like the one we just experienced. We ended the year with a $170 million in cash and short-term investments. And our cash balance and excess to capital allowed us to continue to invest in the Company. We need a strong balance sheet to deal with collection issues. For the past three quarters we have mentioned, there have been two jobs that adversely impacted our margins, our overall earnings and our cash. For through year, we recorded $202 million and 9.7% of total revenue with no margin. One of these jobs is for a cost reimbursable contract for which the client chose not to pay at the completion of the job. The other job was a target price job to which the client chose not to pay for items we believe are politically identified in the contract. We believe that the impact to our 2014 earnings was greater than $0.20 per fully diluted share of these two jobs. In addition, at December 31, 2014 our receivable balance for these two contracts both completed in 2014, was in excess of $63 million. Our reported cash from operations for 2014 was $36 million. We remain resolute in collecting our money. At the start of 2015, we increased our bank facility from $75 million to a $125 million. We added two banks for the facility. The primary focus of the facility is to provide capacity for the issuing of letters of credit if needed for large construction projects. Ending on a positive note, at December 31, 2014 fixed backlog was $1.548 billion, and MSA backlog was $445 million. Taken together, that gives a total backlog of $2 billion at December 31, 2014; with $633 million for the west segment, slightly over a billion for the east segment and $346 million for the energy segment. During 2015, we expect we will recognize this revenue approximately 100% of the West total backlog approximately 40% of the East total backlog and approximately 95% of the energy total backlog. Thank you. And it is time for your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Lee Jagoda of CJS Securities. Please go ahead.
Lee Jagoda: Hi, good morning.
Brian Pratt: Good morning, Lee.
Lee Jagoda: So Brian, as you look at your end market breakdown, roughly 80% of the expected 2015 revenue comes from state municipal utility natural gas downstream in petrochem as well as power; can you briefly comment on each of these markets and the potential growth opportunities for '15 and 2016?
Brian Pratt: So I'll take your rest of the call. The utility business kind of rocks along as it has. I think we're making more and more in-roads. The Aevenia acquisition is going to help us quite a bit because they are up in one of the areas we're not in. It's kind of the no-man's land of the flyover country, but there's some great opportunity out there for Q3 and them. And we think that along with the work in California as they finally get their PSEP [ph] programs going is going to be pretty exciting. PG&E finally says they're going to start their build out on their El Dorado [ph] replacement, which we've been waiting for, and we've got a lot of administrative help builds around the promise of starting this, which they promised last year and they didn't get started, but it appears this year it's going to be a good promise because we're already start to see some of that work. The Gulf is really still popping down there. This Sasol project which none of the -- on our early announcement none of that was predicated on the GTL, it was all predicated on the new ethane cracker. That we think is going to be an exciting market for the next couple of years. Sasol will go on for every bid at two years, if not three. And we anticipate -- we announced the first purchase order of $290 million. Our work is substantially more than that we're going to perform, but Sasol want to keep the purchase orders under $300 million, and then they'll renew it as the time comes. So that along with a lot of other work is going to continue to be really exciting. The LNG business hasn't fallen off a bit. And now I would expect that some of the LNG plants built for fracking and for fuel and the oil fields will probably be slowed, if not stopped, but the regulatory impetus in the ports is still driving a lot of mini-micros in the ports, and we're kind of the guys to beat. We've been there longer, and we've got the best reputation for delivery on these things. So we think that business is going to be pretty great. The pipeline business, these things take four or five years to permit, and by pipe for -- and a lot of the bigger pipelines they have take or pays from creditworthy shippers. The exons [ph] of the world, people like that. So we're fairly certain that the pipeline business is just going to be popping for the next couple of years after that its visibility gets pretty murky, but I got to tell you that if you can see two years ahead in the pipeline business you're [indiscernible]. So I just think across the board the markets are with us. Power, West coast is finally bringing these plants out. They kind of stumble all over themselves because they've got so many regulatory industry -- so many regulatory groups that are involved in the permitting that power -- they just take longer, but tends down to the short strokes on the one plant that I discussed, and then there are several others following behind, but we need about seven or eight of these to just meet the demand of growth. We're still retiring plants out there. And you've got environmental reasons for that with the [indiscernible] as you guys know. So power on the West coast is going to be everything we thought. I think it will probably get started late in the year this year, which makes it pretty tough for Tim, but other stuff is EPC, a lot of its going to be in engineering for the first couple of quarters. We've reached down started fitting and pursuing more work with Saxon, which is really their resume in the East. And we see -- we're out there trying to sell water to all these power plants in West Texas. And they're stuck in the middle because they need the water desperately because they -- these are big coal plants, most of them. They don't have enough cooling water. Basically they're trying to cool the plants with mud, but they know that if the EPA keeps going the direction they're going, their life is fairly short-term. So they're not going to make major capital investments in coal plants. And so we see that as great opportunity to sell some gas fire. So we're out there beating the bushes barely hard to -- and we see lots of potential opportunities there to expand our power business into the Southeast. So I'm pretty bullish on our markets, Lee, we just need to manage ourselves better.
Lee Jagoda: All right. I mean just one quick follow-up related to margins; you took five or six different write-offs during the quarter and detailed them pretty well, do you expect any additional margin headwind in Q1 or in 2015 for that matter based on any of the things that you've already disclosed?
Brian Pratt: We're pretty aggressive when we see a problem to try and find the bottom. We didn't do that well in the third quarter on that job in West Virginia, but if it rains in the morning for that crew, we are out a couple, $3 million for one day of rain. So it's pretty hard to see a hit on jobs like that, and project where you're going to end up. The crystal ball broke on that one; otherwise we'd have probably recognized a bigger loss in third quarter. It wouldn't have changed our year's numbers obviously. But on this big pipeline work you never can tell, because you pay those guys five or six hours, whether they work or not as a minimum, and if it rains in the hills of West Virginia you can't work for a couple of days because the ride away gets a sloppy. You're going to get somebody hurt if you go out there and try and work. So we don't anticipate any more, like I say, we're pretty aggressive at trying to find the bottom. Our mantra around here is, "Only bring me bad news once." So I don't anticipate it, but I'm not perfect. Obviously, based on this quarter's numbers, you can tell.
Lee Jagoda: Okay, very good. I will hop back in the queue. Thank you.
Brian Pratt: Okay. Thanks, Lee.
Operator: Thank you. The next question is from Tahira Afzal of KeyBanc. Please go ahead.
Tahira Afzal: Hey, folks.
Brian Pratt: Hey, Tahira.
Tahira Afzal: Well, I guess my first question is, Brian, in your prepared commentary you said fourth quarter is not really reflective of the earnings power you really see in your business model. So buying weather, or even taking weather on a normalized basis into consideration, what do you see as your quarterly earnings power run rate, given your end markets remain intact. You seem to be trying to address some of these issues. Is it supportive of the consensus estimates out there, or should we be thinking about some cushion at least on the margin side going forward?
Brian Pratt: We don't give guidance, Tahira. I mean, I appreciate the effort to try, but we just don't give guidance. Well, we remain very bullish on our prospects over the next, three, or four, five years. I refer to this as the perfect storm of nickels and dimes. We have a whole lot of crap hitting the fourth quarter that it was pretty ugly, but it was all those small items, but you got to deal with all of them, you got to recognize all of them. The guys are, like I said in my last comment, they're the best at what they do, and nobody can touch us in terms of our ability to make money, and execute projects well. So I'm very bullish on this next year, and the following year based on what I see in the pipeline business, which is a major component, in the South East with -- in the ship channel, with the industrial work that's going on, and the utility business which are three pretty mainstays for us. So I'm very optimistic, but I can't give you guidance, you know that.
Tahira Afzal: All right. So let me try it another way then, Brian.
Brian Pratt: I wouldn't expect less, Tahira.
Tahira Afzal: You've clearly had a good book to bill in the fourth quarter. You're ending the year with a backlog that's kind of similar to what it was in 2014. As you look at 2015, I would assume at least you should see a flat revenue line, but given there's a lot of stuff in your backlog, as you said, that probably moves more slowly in 2014. Should we at least directionally expect revenues to be up? And maybe from thereon I can try to model it down on my own.
Brian Pratt: Well, Heavy Civil is finally peaked, but they peaked on the work in late -- mid to late year. So that work should be above the normal run -- last year's run rate. Pipeline work, I think, Frank, he's got the one job, which is $137 million, and he's got short listed on several more. Some of them are for 2016 starts, but several of them are for this year's starts. So I would hope pipeline would exceed the long haul stuff that Rockford does would exceed last year's run rate. We think -- we spent another -- we're planning on spending another $16 million, $17 million on equipment for Q3, so that would indicate that we see growth for them. We don't spend that kind of money if the top line is going to be flat, we don't need to. We think the work on the West Coast, Tim is going to remain -- the industrial side is going to remain pretty flat. Hopefully they'll have a little higher margin in the work based on the work we did for the solar guys that didn't pay. That certainly knocks the hell out of your margin line, but I think PG&E will be up substantially because of their thrust to replace the [indiscernible] services. And I in Southern California the utility down there we were for had a fairly difficult time getting off the ground on their PSEP program, so we expect that to be expanding. Then you add the small pieces here and there, and I think, in general, I see a fairly significant growth for the year. But that's as close as you're going to get with me to any guidance.
Tahira Afzal: Well, that's good enough. Thank you folks, I'll jump back in the queue.
Brian Pratt: Thanks Tahira, and thanks for following us all these years.
Operator: Thank you. The next question is from Jason Wangler with Wunderlich. Please go ahead.
Jason Wangler: Hey, good morning, Brian.
Brian Pratt: Hey, Jason; another guy in your industry you follow that didn't perform well, huh?
Jason Wangler: It's just far from the course, so you're all right.
Brain Pratt: [Indiscernible].
Jason Wangler: Under that [indiscernible], I was curious, you mentioned the long haul stuff to obviously make a lot of sense, just the timing, and the permitting, and everything. For that stuff at least for now should be unaffected. But as you go down to the shorter term stuff, whether it's gathering lines, and more closer to the wellhead are you seeing much difference there, maybe even as you get into '15 right now, or are you still seeing a lot of work that needs to be done?
Brian Pratt: It's pretty early to tell. Some of these guys has spent all the money, and pun intended, it's working in the pipeline. We just see the end of it. We don't see the start of it as much as -- well, it's not as overt to us. So, we're still seeing quite a bit of stuff come through on the upstream end of it, but some of that may be guys that have already drilled up prospects, and been waiting to get into queue to ship it. If it's drilled they're going to ship it. But a lot of it is environmental, and mitigation, and growth. All these pipelines a lot of -- what Robert does is short projects, relocations, and stuff like that around subdivisions that are getting built. But if you're looking for us to be a canary for you on the upstream side, we really can't do it, but we still see a good amount of volume of workforce out there. I don't see it being much more competitive than it was in prior years, because to be honest with you, anybody that would get into the business with the uncertainty right now is not playing with a full deck. But I want to make something really clear. On the long haul pipelines most of -- you don't go out and build $1.5 billion or $2 billion pipeline based on the fact somebody might drill a well. That production is there, it's committed to those guys that are building them because they have take or pays and their throughputters are going to pay whether they put any oil, or liquids in it, or gas in it at all. So those are pretty sure bets. And we see a couple, three years of blow and go for that kind of work. We have clients that are asking us, as we speak, to put up letter of credit to make sure we're going to be there for them in '16, because they think the long haul business is going to be that busy. Some of those are utility based clients that are trying to nat gas, cheaper nat gas into places that it doesn't currently serve in the capacity they need. But we're seeing a lot of push in that business, and I see a lot of solid work for next couple or three years.
Jason Wangler: Now, that's helpful, and I think you're right. I see that there's still a lot of catch-up to be played, at least certainly this year, or even the shorter haul stuff.
Brian Pratt: And we just can't see it from our end of the pipeline. I know the drilling has slowed down. I watch guys like Matador, which is a great company, and people like that. And they're drilling fewer wells, and trying to find ways to do it cheaper. So ultimately the upstream work will slow down, it's just a matter of when.
Jason Wangler: Right. And then if I could ask you maybe just -- obviously the different issue as far as the cash generation from the operation side. Do you see, obviously hard to tell, but as we look into this year, do you see that maybe flipping back, and maybe have a pretty solid year as far as generating more cash than you would think on a steady state just given the '14 was a tougher year with a bunch of different issues, or how do you see that playing out?
Peter Moerbeek: Yes, certainly -- and I was trying to say that if you take -- if had collected the [$63 million] we would have had a great cash flow from operations from '14. We fully anticipate getting back to the $85 million to$100 million range where we were a couple of years ago. We're not counting because it's so totally unknown on whether we're going to get any money out of the two contracts with whom we're fighting. So for us, when we look at it, there's no reason that we can't get back to the numbers that we were. Having said that, it also will depend a little bit, and it's not cash flow from operations, but obviously overall cash will depend a little bit on what we do on the acquisition front. But there's no reason we cannot get back to the $85 million to $100 million range that we were in the last couple of year.
Jason Wangler: That's helpful, thank you. I'll turn it back.
Operator: Thank you. The next question is from Adam Thalhimer of BB&T Capital Markets. Please go ahead.
Adam Thalhimer: Hey, good morning, guys.
Brian Pratt: Hey, Adam.
Adam Thalhimer: The Rockford and the Sprint jobs, are those done now?
Brian Pratt: Yes, the Sprint job, which I hope the client is listening, they have not filed any countersuit so they're running out of time on that. But we build for the retention which these -- they have illegally held. And, in Texas, that draws penalties of 1.5% per month, plus legal costs. So if you're listening, guys, you need to pay that. But, yes, the Sprint job is done. The -- everything complete. We've completed the entire punch list. The only thing remaining on the Mark West job in West Virginia is the final cleanup. The pipeline is operational, tested, and tied in -- I don't know if they're actually operating on it or not. But because of the weather, and the sloppiness in the hills you really can't do the final clean-up. So that's all that's remaining, is the restoration and clean-up.
Adam Thalhimer: Okay, and then on the Belton jobs, do they have the rights of way now, I'm just wondering how quickly the East margins can come back?
Brian Pratt: Well, you have two choices with these guys. They typically don't procure their rights of way until they get their numbers, and their bids are in. And they know you're going to be within budget, and then they go out and procure the rights away. And it's problematic because when you're trying to get utilities to move pipelines and stuff, they live in their own world, and they're not in a hurry to move your pipelines. And so what you end up doing, you have two choices. You can wait, and fight them, and build ill will with them by waiting till every price of right of way is cleared. Or you can go with what's called an LNTP, limited notice to proceed. And if you go with the LNTP you end up with a hodgepodge, hop around kind of job, which makes it a lot tougher to manage and complete, rather than going from one end to the other. So it was mixed bag for us. Some of it we found okay to do -- take the LNTPs, and some of them we didn't. So I hope that answers your question. And in this case, it had impacted us. Now, we think we're going to recover a lot of that, if not more than that on claims with the state, but there's uncertainty with that, and we try and view things in a conservative way. So we're not recognizing aggressive numbers on claims.
Adam Thalhimer: Okay. And the Sasol job, how should we think about that, because you've given some revenue numbers, and you've given us a timeframe. Is it even recognition over that timeframe for a quarter, or how should we think about that?
Brain Pratt: It's going to ramp up quick. Once they finally announced they pulled out all the stops. Our contract is for the relocation of some of the conflicting structures on the site. There's a canal, and a water conveyance system, and some other stuff that has to be moved off the site. And then it's to bring in the dirt, I believe the number was 18 million yards of dirt which has to be moved from offsite. So the numbers get pretty large, and they go pretty quickly. It's pretty hard to get two dirt guys on the same site. So we have the dirt by ourselves. And then that's what James Heavy Civil, with Jonas Beatty's group -- he's a great kid. And then there's another slog of work about the same size that Conrad has the JIC for the concrete structures that go on the dirt. That's a similar size to what Jonas has with the dirt. And then they had placed the pile driving contract with a third-party private company, and apparently they couldn't tend the contract term, so we've actually taken on some of the pile business. Originally, when we estimated the job we thought there was about a little less than $600 million worth of work there. That being said, I'm not sure what the work will truly come to in the end. They've added scope, from what I see, but the concrete structures are nebulous, I can't get my hands around what the structures will run. And I think the schedule is two and a half years. So if that helps everybody model it, I hope it does.
Adam Thalhimer: Okay. And then, Brian, last quarter you talked about you are looking at one job aside Sasol and one smaller on the Gulf Coast and you remain bullish about the prospects there. So, can you give us an update on the specific opportunities that you are looking at on the Gulf Coast?
A – Brian Pratt: No, I really can't. I mean I get a report every Tuesday night with everything we are looking at, and I don't even print it any more, we have to kill half the trees in Minnesota. So it's just -- I know everybody seems to be a little skeptical about it. But we are not seeing any slowdown at all, what we are seeing is a lot of issues. We got one client that -- he came out with some hand sketches. It looks like he did among the hood of pick up, and and it was some structures. And then when we finally got the engineer drawings they were entirely different. So the prices we gave the guy were just -- they weren't even in the same universe by going in. And then we're seeing these guys particularly some of the foreign entities that kind of operate that way world-wide. We are seeing a lot of these guys be rather stingy on dealing with some of those cost overruns. And so, we have decided to be selective on who we work with and get more aggressive on our contract terms. A lot of these guys are guys that we worked for 20 to 30 years. So it's hard to get too aggressive with them, but it just seems like I am spending a lot more time trying to collect money than I hoped for and I warned those guys about this and that's going to be -- our challenge is managing expectations and collecting these bills. I just didn't think it would be this bad, and I think part of one of the reasons is there is just a whole lot of uncertainty over the prices they accrued in that gas, which causes a lot of these guys to be hesitant because even the petrochem guys would be in tar with the same brush.
Adam Thalhimer: Okay. Thanks for the color.
A – Brian Pratt: You bet.
Operator: Thank you. The next question is from Mike Shlisky of Global Hunter Securities. Please go ahead.
Q – Mike Shlisky: Good morning.
A – Brian Pratt: Hey, Mike.
Q – Mike Shlisky: Real quick, I want to ask about some of the training you have mentioned you had in the quarter at ARB. Is that all with at this point, and I guess I either way I mean could some of your folks see some efficiencies here at the very offset as they just got these kind of skills, are they still developing their life skills in that area, and is it going to be a first quarter margin impact there?
A – Brian Pratt: Well, our normal first quarter margin impact is gross margin, it relates to revenue. There just isn't enough revenues normally. But utility, you know, by the time, they wipe the sleep our of their eyes from Christmas and holidays, they are just kind of a slow starting up. This is a fairly large contracted TVs. Well, when we out these gas services in for customers like PG&E and SoCal gas, we typically drill them in with a big drill. Fundamentally, we will monitor not at all little bobcat or something. The net drill is really powerful. And it has a tendency to drill to about anything that it runs up against. And that's not good when you drill through a sewer line or something like that. So in essence, what we do is we go in and camera the hole, before we insert the service to make sure that we haven't drilled to something we are not supposed to. That can be very problematic. And over the years we have grown in hundreds and thousands of these services as has PG&E and their crews and SoCal gases' crew. So we think it's a great market. It's just something that nobody has done before in terms of a consistent basis on the West Coast. So, our first contract is in Northern California. We are pretty excited about it because this is something that is going to be go on for a long time because they are going to continue to drill these services in. For example, PG&E has 250,000 of these [indiscernible] services they have to drill in. So -- and I assume that the vast majority will be drilled. So this is -- I think we've got a couple of year contract with a one-year extension. This is something that we think that is going to go on and on. So we geared up to do it right, and we had some initial cause. I think we will be going pretty hard by the end of the quarter, but I'm not sure we are seeing a whole lot of revenues first part of the quarter, because this is a new facet for PG&E also. And because of that, they don't have the people or the program to support this I think as quickly as they might like. So we may struggle a little bit with the coordination with them.
Q – Mike Shlisky: Okay, great. And I wanted to just change over to the acquisition here; I know in your comment that you have prepared you had mentioned both have been critical over the years that you were not looking to pay too much money for some of these deals, and have you done one that looks like a pretty good EBITDA mostly around four times. So I don't want to be critical that you're paying too little, but my question is, is there anything that we should know about as far as, if there are any other issues with their '15 growth outlook, is any other issues with the balance sheet, is there a large backlog there or kind of a small backlog there, making sure that when you are paying four times that it's great, a decent company that hasn't really changed from your prior targets, always a good operating company there?
A – Brian Pratt: The only one we've been opportunistic in and trying to catch a falling night was Saxon, and we paid for that, but now we got in my opinion a great little business unit. We like Aevenia, we like the guys a lot. They are down to earth. They are our kinds of guys that are focused on cost control and understanding where their costs are. They have got a good market area. Their office is about five miles from our Q3 C's office in little Canada. So it's not a lot of windshield time for me to go up there and see them both. Aevenia was part of Otter Tail. I think they are like a lot of utilities they get into our business because we make it look so easy I guess, but I think they just want to exit that business, and so I think we found them. We didn't chase them through a process. Process described a price up because you get private equity involved and may be 10 or 12 strategics. We just typically don't precipitate in those that drives the investment bankers crazy. That's why we pay a lower multiple plus. We want guys that they aren't looking into toss as the keys, and when you pay multiples like some of our compatriots have, of nine and 10 times to be on the Gulf, you will get a lot of key tossers guys in their 70s or guys who having built a lot of debt into their companies. So we looked at this. It was absentee managed, it was managed well, the guys were very much profit-motivated, they were very much motivated to grow and they fit our group I think exceptionally well. And those are the three criteria for us. So we think the multiples that we see -- we are in the market that's seven on forward today, I don't know, where we are today, that's a tough calculation, but I'm not even going to do that, I have taken some [indiscernible]. But when we look at our multiple, we just can't go out and pay an eight or nine, it makes absolutely no sense and I think it would be a gross injustice to our shareholders to do that. So we are seeing reasonable valuations now and pretty excited about it because we kept our patterns right. I am not going to name three guys that paid a nine to ten times for companies in our space, but how they are feeling about those now.
Q – Mike Shlisky: Got you, got it, makes sense. I'll leave it there. Thank you so much.
A – Brian Pratt: Thanks, Jason; I'm sorry, Mike.
Operator: And the next question is from Dan Mannes of Avondale. Please go ahead.
Dan Mannes: Thanks. Good morning, everyone.
A – Brian Pratt: Hi, Dan.
Dan Mannes: A couple of quick follow-ups; first, on the fourth quarter, can you just help me a little bit more on Rockford, you obviously know what your bidding pipeline look like. There wasn't a lot of long haul work, were you surprised, was there an absence of smaller work to do or maybe you just want a position where you wanted to be. I guess a little bit surprised by the step down there and I am just hoping that you are helping me out a little bit.
A – Brian Pratt: Well, a lot of the work we've been doing in the Marcellus has been kind of quick hit gathering line stuff, and we see some more of that this year. We actually see some augmentation of that like this compressor station for Williams out there, but I see a smaller, and you know as it gets smaller, it gets more comparative. So thank God I think we are going to be busy on the bigger work. But that started winding down. There is still a whole lot of uncertainty in our markets with the price of oil and nat gas liquids. Nat gas bounced around on the bottom. So that's miscellaneous. We haven't seen those big changes. With that uncertainty, we have seen a lot of guys just kind of pull back and say, "Well, let's wait and see what happens," I think now that it somewhat stabilize, although you still have guys predicating oil is going to be at $30, we're seeing guys develop a little bit more confidence in their projects, but there just wasn't a lot of smaller quick hit projects like there was in previous years for Williams.
Dan Mannes: Got it…
A – Brian Pratt: And also, this little job we did in the hills in West Virginia, it was a bare, it took a lot of really our talented guys when you are hanging off the hills with wind cats and everything else, you can't say everyday Joe is up there to do that kind of work. So we were pretty occupied. It's a shame that we committed some of our best assets to a nasty job, but it would have been a lot worse had we not, and we might have gotten somebody.
Dan Mannes: And I mean the last couple of years, Q4 has been pretty good, but historically winter hasn't been the best time for long haul work, but here you're in January you booked a big job in Texas; do we see maybe a little bit of different seasonality this year than we have seen in the past, given kind of a weaker Q4 and maybe a better positioning for Q1?
A - Brian Pratt: Well, that's a tough question. I think a lot of it, you got so much noise in the oil markets, and a lot of what we've been installing has been oil although what we are looking to install this year, next year, and the following year has been more gas and gas liquids. But I think there is just so much noise with the [indiscernible] drop of oil that it just -- I don't know how you consort that out and kind of analyze third and fourth quarter. I think just a lot of people pull back, like I said, I hear -- I go on these earnings calls of our clients, and all I hear is a lot of talk about balance sheet perseveration and things like that. So I just see the big work there, it's funded, it's the pipe spot, although there is a bunch of pipe on the market right now. People are changing their minds about whether they want to install it, but there is so much work out there that's funded, that's contracted for throughput. I just see it as a bullish time for the next couple of years.
Dan Mannes: Understood on the long haul side; another quick question as it relates to Aevenia, how [indiscernible] kind of oil field electrification, is that maybe one of the concerns on the business that things got a little slower in the Bakken?
A - Brian Pratt: They have got some work up there, but the vast majority of their work is utility-based. So [indiscernible] drilling new sites and overhead lines and do well pads and stuff, it's going to slow down in that area. We actually use it as a positive, because we want to be there; this is a great footprint, entry point for us into that area, but the majority of their work was in other places besides the Bakken or the Williston as far as that goes to Southwest of there. We see some really good opportunities with our other offices to move in into other places and pursue that kind of work when it begins to rebuild again. But I'm not worried about any kind of [indiscernible] drop and their revenues. I think those guys, Mike, and those guys will handle it well up there.
Dan Mannes: Okay. And then the last thing is on the energy segment, we were pleasantly surprised by the margin pick up, and I know you're disappointed that you didn't start up on Sasol as much as you wanted, but were the margins there, was that a function of the fact that maybe Sasol yet or are these the realistic margins, given how tight things are down in that area?
A - Brian Pratt: Well, probably 90, I'm guessing, but I make some pretty good guess because I study these numbers pretty hard; 90% or 95% of the work we performed down there was reimbursable. So -- and to be honest with you, Sasol sense the first portion of its heavy dirt, its a little different skill set. Those people weren't off making a bunch of money on this other work we're waiting for, because to be honest with you, as I said in my remarks, the team [indiscernible] year. How you get this work is you pre-qualify your team and if it's reimbursable and the clients willing to give you work, it isn't lump sum, you better give them a good team. And so, we set aside this team and they have to remain available because you can't put them a job that is going to conflict with the start of this project. And God bless Sasol, they struggle with some environmental stuff and they struggle with the GTL decision, but every month it was a well next month, next month, next month. And so, in essence we have that team set aside [indiscernible] other work. I think those margins should continue. The problem we have down there is you get done with these jobs and the clients [indiscernible] bunch of your money because you are spending it fast and it's going off the door every Friday because you are writing payroll checks for most of your cost, and they want to call back. And every one of them they go these seminars; I don't know who puts them on. They're probably the same guys who put on seminars for us on collecting. But they put these seminars on and now you can [indiscernible] money out of the contractor after the job is done, and you are still holding his money. And so, a lot of them come back to take another bite. And to be honest with you, Dan, that's why we just have to be so conservative and the way we reflect profit on these jobs until the better end, until that retention is received and the less payment is received, because I'm guessing 25% or 30% of these guys have come back and I asked for discounts.
Dan Mannes: Got it. Great. Thanks for the color, Brian.
A - Brian Pratt: You bet, Dan.
Operator: Thank you. The next question is from John Rogers, D.A. Davidson. Please go ahead.
John Rogers: Hi, good morning.
Brian Pratt: Hey, John.
John Rogers: Hey. I just want to follow up on a couple of things; first of all in terms of revenue the -- you talked about burning in 2015 -- it's about what billion [indiscernible] so you know what was that level at the beginning of 2014?
Brian Pratt: Well you're trying to make me think hard. Which [indiscernible] clarify and now what level are we discussing.
John Rogers: I mean you gave us some numbers on how much backlog -- what portion of your backlog do you expect to burn in 2015 of your current backlog? And I just want to understand the visibility you have in the 2015…
Brian Pratt: Oh, how we related the years?
John Rogers: Yes…
Brian Pratt: Yes we've made the same comment in start of 2014 where that it would been.
John Rogers: Yes.
Brian Pratt: Hang on we got people pounding computers trying to check -- you got other question while we're researching here?
John Rogers: Yes, because Brian I'm just trying to understand a little bit about I mean I appreciate your comments about the pipeline business and the market activity but I also expect that if we don't book that work fairly quickly over the next couple of months, it's all in the 2016.
Brian Pratt: Now as you know to be honest with you John, most of these big pipeline guys they will -- you kill what you eat, they did it and you know we did a 100 and -- gosh I don't know how much it was for BridgeTex, but we earned a lot of that off in 2013 and then a lot of that off in 2014, but we business jobs for enterprise in December January and started it in January. So they go pretty quick because these guys are ready, they spend a bunch of money on engineering rights of way and pipe and negotiating through puts and they want to get -- they don't want to get flowing in the pipe. So normally we don't have too much backlog in this time of the year. If we don't have it in the next couple of months now we're going to struggle in the later quarters of this year. But we're good in the tunnel work that has to be built this year.
John Rogers: Okay. Okay.
Peter Moerbeek: It's about 1.3 billion, John.
John Rogers: 1.3, thanks. And then the other thing is that just in terms of the receivables that you're trying to collect the $63 million what's kind of the next steps in that process? I mean is this the -- is this if they don't -- is this going to stretch out for years or is -- are there any specific hurdles that might move that collection forward?
Brian Pratt: Well, it's a mix bag. We match our contracts with our clients and our venue and a part of our challenge is this you know all this work is governed by lean laws in counties and state laws. So you have 50 different jurisdictions you got to concern yourself with plus the international clients. Now with the solar guide in California, we chose to do international ICC arbitration there because we have a guarantee from the parent Company in Spain. So that's -- that can be as long a process as litigation and a bit more cumbersome because you're typically you're dealing with arbitrators a couple of them from -- that aren't U.S citizens, so that could take couple of years if they want to be hard hitted. The project in Texas where litigation on, it's a matter of who cannot -- who can extract the most pain. Now typically these guys will hold on to your money and they beat guys up trying to hold their money and you -- that doesn't hurt us. I mean yes we'd like to have it but if they want to give us a 1.5% a month penalty under Texas law, in lieu of paying us the $17 million or $18 million a year I'm all for it because we're not getting anywhere near that in our checking account or savings account. But that can take a couple of years. Most of these guys you know in 42 years I've litigated dozens of these things, and I've been to trial once. So it's a matter of preparing these guys and have them understand how weak their cases are. And then both of these two bigger cases we have somewhat smaller ones too. I think we're in pretty good shape. And one piece of good news that we got just recently on the; work in California, is that we received a bond for the -- we leaned the project and we received a lean a bond -- a lean release bond from [indiscernible] for a 150% of our lean so now we have the U.S. company on the hood we can sue also for a collection, and that gives us a lot more financial security that once we went there is money there. So it's a long process. It could settle tomorrow. I mean if they want to call, I don't sue guys without go all the way up the ladder, and I made two calls to the guys who runs BridgeTex and they remain un-returned, and David King made four calls to the guys at BridgeTex, and they remain un-returned. So if they want to start talking to us, we can get it resolved. Otherwise we're going to extract three pounds of flesh, because I don't appreciate the way that clients like this have dealt with this over the years.
John Rogers: All right. Well, good luck with that. And then, one other thing, Brian, is with the acquisition that you announced this morning, I mean takes you into a little bit different market I would guess in terms of the electrical work, but you've talked in the past about sort of the next opportunities, and I would assume pipeline assets are pretty expensive at this point. What are the options out there now, especially if pricing is coming down?
Brian Pratt: The options?
John Rogers: Yes. I mean [indiscernible] Primoris obviously.
Brian Pratt: I would read the attendance on these calls pretty religiously [ph] and you got guys that sign in as A, B, C, T, Y; but I see here a lot of competitors on these calls and they read our transcripts, I'm sure, so I'm not going to tell them which direction we're going. But we see plenty of opportunity for good-sized acquisitions, and they're outside of the -- what we consider the energy business, but they're somewhat energy-related, because that's what we understand. And we are seeing a lot bigger companies come available at reasonable pricing. We see a lot of guys in the $100 million to $200 million run rate, where the owners are little older and they don't want to wait for the next time when multiples are back to nine and 10. They want to do something now, because they don't know when that's going to occur. So -- and we beat the ground pretty hard, and once you bought a company or two and you make these announcements and people understand and they see how well you assimilate them and how well the employees like to be in part of Primoris and the managers, we get a lot of calls which you consider me, or have you thought about this guy or that guy. So we don't have to look in the normal places. We don't go to businesses for sale.com to find these things. And I think that's one of our -- Manny is supposed to be in here today. So maybe he has got something to look at, who knows?
John Rogers: Okay. Thanks a lot. I appreciate the help.
Brian Pratt: Okay, John.
Operator: Thank you. The next question is from Tahira Afzal with KeyBanc. Please go ahead.
Tahira Afzal: Yes, Brian, I guess last question from me; you've seen two months of the first quarter go through, I understand this is seasonally a weak quarter for you, but given all the moving parts that impacted you in the fourth quarter, could you help us 42 months in comparison to -- on a sequential basis?
Brian Pratt: I'm sorry, Tahira, you broke up. I'm just kidding. I can't give you any guidance, Tahira. I wish I could, but I just can'the, so -- you guys will just have to do your magic and figure it out.
Tahira Afzal: Okay, thanks a lot.
Brian Pratt: Sorry.
Operator: Thank you. And that is all the time we have for questions. I would like to turn the floor back over to Mr. Pratt for any closing remarks.
Brian Pratt: To our employees, I wish to thank you all for your hard work in 2014. You are truly awesome. To the rest of our stakeholders, I would like to thank you for your continued interest, support, and patience in Primoris. Good-bye.